Operator: Thank you for standing by. This is the conference operator. Welcome to the Cameco Corporation Third Quarter 2017 Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Rachelle Girard, Director of Investor Relations. Please go ahead.
Rachelle Girard: Thank you, operator, and good day, everyone. Thanks for joining us. Welcome to Cameco’s conference call to discuss the third quarter financial results. With us today on the call are Tim Gitzel, President and CEO; Grant Isaac, Senior Vice President and CFO; Brian Reilly, Senior Vice President and Chief Operating Officer; Alice Wong, Senior Vice President and Chief Corporate Officer; and Sean Quinn, Senior Vice President, Chief Legal Officer and Corporate Secretary. Tim will begin with comments on our results and the industry. Then we will open it up for your questions. If you joined the conference call through our website event page, you will notice there will be slides displayed during the remarks portion of this call. These slides are also available for download in a PDF file called Conference Call Slides through the conference call link at cameco.com. Today’s conference call is open to all members of the investment community, including the media. During the Q&A session, please limit yourself to two questions and then return to the queue. For those on the webcast, if you have questions, please select the Submit a Question feature to submit your questions by e-mail, and we will follow-up after the call. Please note that this conference call will include forward-looking information, which is based on a number of assumptions and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I will turn it over to Tim.
Tim Gitzel: Well, thank you, Rachelle, and welcome to everyone on the call today. We appreciate you taking the time to join us to discuss Cameco’s third quarter results which were as anticipated and in line with the outlook we provided last quarter. You will recall that in Q2 we highlighted a number of items that led us to expect the third quarter to be the weakest quarter this year. First, although the delivery volumes in our uranium segment were higher than in Q1 and Q2, the realized price for the quarter was the lowest expected this year, again as we guided to last quarter. This is a result of the pricing terms in the contracts we made deliveries under during the quarter and the weaker uranium price. Given the recent strengthening of the Canadian dollar we have updated our assumptions for the U.S. dollar exchange rates, as a result we have lowered our expected annual average realized price to CAD$47.50 per pound which points to an expected Q4 average realized price higher than the annual average. And of course the actual results will depend on exchange rates and uranium market prices. But we can see from the sensitivity analysis we provide that the further weakening of the uranium price is not expected to impact revenue, adjusted net earnings or cash flow. This is of course due to the very deliberate way we have structured our contract portfolio and the protection it affords us. We have also updated our expected delivery volume range to between £32 million and £33 million, largely as a result of some portfolio optimization opportunities we undertook. This means we will deliver between £11 million and £12 million in the fourth quarter. This assumes that all deliveries are made a scheduled in the quarter as you know it's not unusual for delivery to slip over the year end. Unit cost of production were significantly higher than in the first two quarters and compared to Q3 last year due to lower production resulting from the implementation of a mandatory summer vacation period followed by planned maintenance shutdowns at our Northern Saskatoon operations. Again this was not unexpected. And despite the impact on quarterly production costs these measures are designed to reduce overall operating cost for the year. Despite the quarterly fluctuation in production costs the average unit cost of sales was 10% lower for the quarter and 13% lower for the first nine months compared to the same period last year. We have lowered our expectation for the average unit cost of sales including depreciation and amortization to be between CAD$35 and CAD$36 per pound a reduction of 11% to 13% from 2016. The reduction is driven by the deferral of some purchases and the revised U.S. dollar exchange rate assumption. In the second quarter, we announced that we were pleased to have settled our tax dispute with the United States Internal Revenue Service and as we expected the financial impact was not material. In the end, we had to pay about a $198,000 to resolve the dispute related to the 2009 through 2012 tax years which represents 122,000 in taxes owing plus interest of about $76,000. Based on the adjustments proposed by the IRS for this period, our potential exposure was a tax expense of $122 million. As we noted, we have to make the payment in the third quarter and record the associated tax expense. The final items effecting the third quarter that we disclosed previously were receipt of the 2011 transfer pricing penalty from the CRA of $78 million. Although, we disagree with this penalty we are required to pay half of it in cash, while the matter is in dispute which we did in the third quarter. Direct administration cost were down about 3% compared Q3 of last year and 20% for the nine month period. During the quarter in line with the other disciplined actions we have taken, we may change to the way our global marketing activities are organized, resulting in one-time admin cost of about $5 million. Excluding these one-time cost, direct admin would have been down about 15% for the quarter and 23% over the comparative nine month period in 2016 continuing the downward cost trend. The changes to our marketing activities require a write down of the full carrying of good will associated with our purchase of NUKEM, as such as we recorded a non-cash expense of $111 million in the quarter. We needed to make these changes because current market conditions do not support the level of resources and personal deployed under the previous structure. Going forward, our Canadian and international marketing activities will be consolidated in Saskatoon. Marketing has always been strength at Cameco and that will not change. Existing purchase and sales contracts will remain in place along with Cameco European and U.S. subsidiaries that perform under these contracts. Once fully implemented, we expect the changed will reduce cost by $8 million to $10 million per year. The changes we are making are intended to position the company to deliver increase shareholders value over the long-term no matter what that market condition is. Unfortunately they do effect people. On the operational front, you will see that we have lowered our production outlook by £1.2 million for the year, the reduction is due to production delays at Key Lake caused by work required on the existing Calciner circuit and lower production than expected at Smith Ranch Highland as head grades continue to decline. Given our inventory position and the market environment, we are willing to accept some production variability as long as we don’t compromise safety, the environment or the long-term health of the company. We continue to expect adjusted net earnings for 2017 to be lower than the $0.36 reported in 2016. However, despite lower adjusted net earnings then in 2016, we continue to expect 2017 cash flows will be higher than the $312 million reported last year. The increased cash flow is a result of progress made in decreasing our operating, general and administration and exploration cost as well as a reduction in our purchasing activity resulting in less cash tied up in inventory. In addition, we have pulled back our capital expenditures by almost 26% since last year, which has a positive impact on free cash flow. So while we have had some weaker result, they were anticipated and reflect a very deliberate strategy to strengthen the company in the long-term. Cameco remains a solid company financially generating strong cash flows. Before I leave the quarter, I want to give a quick update on the CRE trial and TEPCO dispute. Final arguments in our CRE trial wrapped up on September 13th and now we await the judge’s decision which is expected to take six to 18 months from the conclusion of the trial. We have provided an overview of appeal possibilities in our MD&A which I won't go into detail here except to say either party has the right to appeal the decision of the Tax Court of Canada. However, if neither party pursues an appeal the CRE would issue reassessments for the 2003, 2005 and 2006 tax years to reflect the decision and the corresponding payments or refunds including interest would then be made. The total tax amount reassessed for the 2003, 2005 and 2006 tax years, was $11 million and we have remitted 50% at the time the reassessments were issued. On the TEPCO trial the three arbitrators have now been appointed and based on the current schedule set by them we expect the case will be heard in the first quarter of 2019. However, timing for a final decision will be dependent on how long the arbitrators deliberate following the conclusion of the hearing. In both the CRA and TEPCO cases we remain confident in our position and expect favorable outcomes, but the resolution timelines could still be a ways off. Turning to the market, there was some good news on the construction front last week, nearly 60% of people polled in South Korea voted in favor of resuming construction of the two reactors halted following the election of the new President whose plan is to phase out nuclear power. And I was just in India and the United Arab Emirates and they continue to move forward with their nuclear plans. And of course China continues to be the bright spot with 19 reactors under construction. However, we remain cautiously optimistic, cautious because we continue to face difficult market conditions, and have seen global demand expectations come down while the industry works its way through supply that was incented in previous price runs. Yet optimistic, because today's uranium price is too low to incent the investment required to ensure that adequate uranium production is in the market, uranium needed to support the reactor construction program as well as the return of idle reactors to the grid and utilities uncovered requirements. Our strategy to curtail higher cost production and focused on our best margin assets, restructure various aspects of our business and generally reduce costs is driven by these market conditions. We have consistently acknowledged the near to medium term challenges on both the demand and supply side. However, we're a bit frustrated by the reliance on supply side forecast that failed to account for the economic factor that distinguishes the uranium reserve from our uranium resource. For example, we have seen forecasts that show McArthur River mine where cash operating costs are among the world lowest, increasing production in 2019 at uranium price of $25 per pound. While we can't speak for the behavior of other producers in the $25 market, I can tell you this is not a rational assumption. At $25 we won't be investing a dime to increase production at McArthur River in fact expect there could be further variability in existing production beyond what we announced for 2017 if these conditions continue. And we certainly won't be undertaking the work required to extend the £18 million per year mine life at Cigar Lake which we should be starting tomorrow if we want to extend production beyond 2027. At today's prices or the prices used in those reports apart from making sure we have uranium to fulfill our contract commitments our supply is better left in the ground. Experience has thought us that success in our business requires patience and discipline. Progress is not measured in weeks or quarters, but in years and that’s how we manage our business. Our decisions are deliberate driven by the goal of increasing long-term shareholders value. Global population is on the rise and with the world’s need for safe clean reliable base load electricity, nuclear remains an important part of the mix. Just last week the landsite commission confirmed that pollution causes nine million premature deaths each year, that’s equivalent of a country of both the size of Sweden or Austria every year. Clearly there is an urgent to address air population and nuclear offer a ready solution. The good news is that many you recognize this, around the world there are 56 reactors under construction, the majority of which will be online over the next three year, if startup occurs plan. And more reactors means more uranium will be needed. We can't control the timing of a market recovery, but we are taking actions on the things we can control. We're focused on our strategy to produce some of our tier one assets, those that are the lowest cost and provide us with the most value. We are restructuring our organization to be as efficient as possible. We are responsibly managing our production inventory and purchases protecting and extending of our contract portfolio and maximizing cash flow while maintain our investment grade rating. Ultimately our goal is to remain competitive and position the company such that we have the ability to be among the first to response when the market call for more uranium. So thanks for joining us today. And with that, I will turn it back over to the operator.
Operator: Thank you [Operator Instructions] Our first question comes from Ralph Profiti of Eight Capital. Please go ahead.
Ralph Profiti: Good day, thanks for taking my question. Tim you touched on this in your comments about the price sensitivity and looking at the uranium realized price sensitivity table and have been looking at post TEPCO and if you take into account the change in contract mix, there still been slippage of about $1 or $0.75 per pound per quarter. Is this something that irrespective of the prices if they where to stay the same, you would expect this slippage to continue to occur or I'm just trying to find a point where this stops and that contract books become more reflective of price protection, irrespective of where current spot prices and long-term prices are.
Tim Gitzel: Thanks Ralph for the question, Grant and I were just talking about this report on the call and Grant, you have got the pieces on that, so.
Grant Isaac: Yes sure. Hi Ralph, we have a bit of an explanation here, that really has two factors to it, one is just the methodology behind the table which is the surrounding effect, so when we round to the nearest dollar and so you are seeing a bigger jump if you will in the early years with respect to the prices that are coming off, but really what it's about is it pivots around the assumption under the table under delivery. Deliveries include best estimates of requirements contracts and contracts with volume flex provisions, and so what we do is we construct this table looking at our customers, looking at their requirements, looking at their behaviors in the market that this price we have an estimate, we make conservative judgments on whether they would exercise for example flex provisions or if it's a requirement based contract that might be a judgment on where that reactor operator is going to be in say a market where there are challenges to operating a nuclear plant. So what you are seeing there is just a filtering through mostly assumptions around flex which is why in the outer years you see that value coming back into the table, because the assumption is they might flex down a higher price contract in a low price market, but eventually you have to catch up to that quantity, so it will have to come back at some point. And the other feature I think it's important Ralph is that as we have seen in the past when the market begins the demand transition and contracting begins and price pressure picks up then we don't assume the flex behavior will occur and then the value comes back to the table in that form as well. So, that's really what you are picking up there, it's just the variability within the contracts and our best estimate on how the utilities will behave.
Ralph Profiti: I got it. You are making assumptions on discretionary behavior which can be difficult I understand yes. If I can as a follow-up your comment of one of the key investor symposiums or for the industry last month I would like to get your thoughts on any changes and your assumptions on where we're in the amount of oversupply in the uranium market?
Tim Gitzel: Well Ralph, it was the WNA Conference, that was mid September, haven't missed it for about 30 years I think it's a bit of a bell weather as to how things are going in the space and this year is really a bit of a mixed bag I would say. Coming off South Korean election, South Korea country really strong in nuclear, elected President that kind of search going the other way and then we find just recently that they take a bit of a poll in the country to see if they should finish building those Shin Kori five and six reactors and the population wants them to go and so you got that out there. Post symposium you got the Japanese election, that was a good news piece, I think Shinzo Abe reelected, we hope that will be a good news for the restart program. On the supply side, I think during the symposium we heard from Kazaks the Minister of Energy I think mentioned that they might be looking at some more supply disciplines, so we are waiting to hear how that’s going. But then you got the other side, the U.S. kind of struggling along, looks like they're going to finish two of the four reactors there which is a good news, not good news story. So it's just really a mixed bag of information right now, as far as supply goes. We launched our own supply discipline last year in April 16th at Rabbit and Wyoming, and Nebraska. We pulled back at McArthur river, we're seeing pulling back out of [indiscernible] last year and then this year and again next year, [indiscernible] we're not sure where that movie is at these days, Peninsula whose up. So it’s a real mixed bag, secondary supply still the Russian box still feeding material in and I think the richer underfeeding and tails re-enrichment still producing. So it’s a bit all over the map right now but. The piece we take and we watch closely is on the supply and we have said for years, keep your eye on supply that’s the big piece. And we saw the Kazaks make the declaration in January of this year saying 10%, we think they are somewhere near that heard 9% I think from the ministry not long ago and we know our own JV [indiscernible] is down, that much in more right now, we expect to be down 10% at the end of the year. So really watching the supply side demand is kind of behaving as expected, so 56 reactors under construction, you know the whole story, if we are looking at 1% to 1.5% growth that’s a good new story. If we didn’t see growth, the reactors under construction that wouldn’t be good as we do. And if we could see some supply discipline we think eventually we will get back more of an equilibrium point.
Ralph Profiti: Great. Thanks Tim.
Operator: Our next question comes from Orest Wowkodaw of Scotia Bank. Please go ahead.
Orest Wowkodaw: Hi good afternoon. Just following up more on Ralph’s question about your realization table, in the assumptions there, it shows that the sales volume average over the 2017 to 2021 period has actually gone up by £1 million I guessed it from 25 to 26. And then when we look at your realized prices in the next couple of years they have come down. Is it correct to assume you been then fighting new contracts that have lower pricing in them that’s effectively adding to the volume but lowering the expected realized price.
Tim Gitzel: Thanks Orest, so I will Grant carry on with that.
Grant Isaac: That’s would be incorrect Orest, the factors that are changing the price sensitivity table are the ones that I outlined with Ralph. you know that we have had some long-term contract in success, we talked recently about a Bruce Power contract, but that was under the types of terms of and conditions that we're interested in, which is market exposure going forward, we don’t think these are rational nor sustainable prices, so we want that market exposure going forward, that was the type of contract we sign. So what is driving those changes is not layering the volumes at base escalated prices around today is fixed, we have not changed our long-term contracting strategy.
Orest Wowkodaw: So what is driving the higher sales volume number that.
Grant Isaac: So Bruce power would be an example.
Tim Gitzel: That was the large contract Orest, so it was a I think a 10 year deal about a $2 billion value contract so that was a big ticket to enter our portfolio.
Orest Wowkodaw: So the Bruce contracts added pounds, but the pricing would be more at on your kind of traditional sort of mechanism.
Grant Isaac: Yes, with Bruce Power in particular, we were looking at a contract that gave us market related exposure and of course you know in most of our market related contract they tend to be a bit of a hybrid if you will. So in markets like this, the customer might ask for a certain sealing and of course we would then ask for a floor, but it was a range where there was market exposure we are very comfortable with. All consistent with what has been our long-term contracting strategy in the past and what it is going forward. So in other words I don’t want you to take a away an assumption that we're panicking in this market and layering in fixed price volumes at today's prices. That's just not the case, we don't feel we have to right now and therefore we're not chasing down this market.
Orest Wowkodaw: Okay and in terms of when we look at next couple of years, what year would your contract book kind of drop below say £20 million?
Tim Gitzel: Well we talk about the next five years and I think we said we have £26 million on average over those years more in the early years and I think that's about as much as we have said about that Orest.
Orest Wowkodaw: Okay. Thanks very much.
Operator: As a reminder we ask that you limit your question to one with one supplemental question. The next question comes from Fai Lee of Odlum Brown. Please go ahead.
Fai Lee: Thank. I Just wondering in terms of the additional disclosure around the appeal process on the Tax Court decision, in terms of the timing is there any particular reason why you have decided to provide additional disclosure about the appeal process at this point in time?
Tim Gitzel: Fai, its Tim. obviously we're waiting for the initial decision to come out. I think we just wanted to make everyone aware that there is appeal rights on this. I think we will see when we get the first decision and then each side has the right to appeal and I think that looking at Sean Quinn here, but that was just kind of our best estimate and I think we just wanted to make sure people understood that once that initial decision comes out might not be end of the ball game yet, if we're not happy or they're not happy it could to appeal. So I think that's why we put that just to maybe tamper the expectations that it's all over when that first decision comes out.
Fai Lee: So it's not like there is an expectation that you are expecting the appealer taken indication that they're going to appeal?
Tim Gitzel: Yes, we don't know, we have no idea and obviously we're waiting with abated breath for the decision, because it's such a big ticket for everyone, but we just want to make people aware that there is a right to appeal on both sides and that it could happen.
Fai Lee: Okay and in the MD&A there is just little blurb about industry consents and uncovered requirements of about £600 million over the next decade and that's come down from £800 million. Obviously you are forecasting to shift with the wind, but I'm just wondering how does that reconcile with your own internal view?
Tim Gitzel: Yes, so Fai that was a U.S. number, we obviously look at the trade publications who are watching this trade deck [UX] (Ph) and that number just moved in the 10 year window and if you spread that window out a little longer I think you will get those pounds back. We didn't wanted to do that, we wanted to be true to the numbers we have been putting out and the window we have been using. So it just has to do with some delays in construction, some shutdowns prematurely that are being announced we will see if they happen and so that's what that's about.
Fai Lee: Okay. Thank you.
Operator: Our next question comes from Yee Chien Yang of S&P Global Platts. Please go ahead.
Yee Chien Yang: Thank you very much. Your net loss this quarter looks like it's due largely to the 111 million impairment of NUKEM goodwill ticket, could this be considered a one-time write down of that asset and/or will there be more in the future. I guess from a Laymen’s perspective could you explain the factors that cause you to buy NUKEM in the first place and why Cameco has decided to shelf that point out.
Tim Gitzel: Yes, Yee thanks a lot's for the question. That is indeed a one-time right down of good will associated with NUKEM. Let me just back you up and say, I'm not sure anybody anticipated now a seven year slump in the uranium business, when we took NUKEM, there was a strategic reasons for us to take it in the was in the market, someone was going to take it. It brought along some good people and good assets, good contracts, so we benefited from quite frankly over the years. This seven year run now or almost seven years of slump, you see us read our MD&A across the board, we're pulling back and including Grant Isaac this last couple of weeks and his marketing and sales team, we have to make some really tough decisions there to consolidate. We couldn’t afford all of that infrastructure in this market and so that’s part of it, it was to down size the NUKEM piece, we continue trading, we continue selling long-term, but that was a move we had to make with NUKEM and write down of goodwill came with it.
Yee Chien Yang: And as a follow-up question, would this be the kind of the first time that you have put a price tag to the I guess the magnitude of the impairment of NUKEM?
Tim Gitzel: Grant.
Grant Isaac: I'm not sure, I understand that question.
Yee Chien Yang: Is this the first time that you have sort of publicized and put a number to the write down of this asset.
Grant Isaac: If I understand your question, yes, because this the first time we have impaired the good will on the asset. Yes.
Tim Gitzel: We adjust the inventory on a quarterly basis, on the asset itself this is the first time Yee.
Grant Isaac: And only time.
Tim Gitzel: And only time.
Yee Chien Yang: Thank you very much.
Operator: Our next question comes from Alex Pierce of BMO. Please go ahead.
Alex Pierce: Hi thanks for my question. So just you touched briefly on the purchase commitments and overall they have gone then, but I see in 2017 is that up by about 37 million, may be you could just tell us what is driving the increase this year.
Tim Gitzel: So just on our purchases for this year, I think we're at about £3 million to the end of September and we are holding an inventory about £27 million or £28 million, just over £27 million. Obviously we're always watching for opportunities that can be profitable and provide us with additional flexibility and I would just say we have seen some of those and that would explain the difference.
Alex Pierce: Okay. Thank you.
Operator: The next question comes from Greg Barnes of TD Securities. Please go ahead.
Greg Barnes: Thank you. Just wanted to follow-up on the CapEx, you have brought that down quite a lot this year to 160 million, guidance that you have out there right now is 2018, 2019 you will have 200 million to 250 million each year. I assume there is a downward pressure on those numbers as well.
Tim Gitzel: Greg I think you are probably right, the numbers we have put out sometime ago and looking over Brian Reilly and we have been working hard with he and his team on our CapEx. Our CapEx is considerably lower for this year and we would be looking to replicate that in the future, but we just haven't put those new number out yet.
Greg Barnes: But the 160 million should be sort of where you like to be.
Tim Gitzel: Well that's where we are this year and we would like to be, we just haven't got through that exercise yet but we will certainly be looking to drive those down Greg, yes.
Greg Barnes: Just following up on Orest question about the legacy portfolio, I think we have talked before on conference calls about that 2020, 2021 timeframe is when that starts to release fall off, is that still the case or you have been able to layer in contracts now beyond that notwithstanding Bruce Power.
Tim Gitzel: Yes. So obviously when you have an average on the £26 million range for the five years and we have more obviously in the next couple of years. It starts to fall off there, we found few opportunities, there have been a few, I think there is been about £60 million traded on the long-term market this year, we're obviously always in there looking to find those that might meet our conditions. Bruce Power was one of them and so we will be looking if we can find the right conditions to keep layering in, but we don't feel big pressure to do a lot now, unless it meets with what we're looking for.
Greg Barnes: Just a quick follow-up if I may. when do you think you will stop to pressure though Tim?
Tim Gitzel: Well we're watching every day, I'm not sure how long this market can last, we're closing in on seven years now, but we get a bit enthused by that £600 million, £800 million to £600 million pick your number that's out there that has got to come to the market at some point. We're seeing a little bit of supply discipline as I outlined a little earlier that's the kind of the first we have seen from the suppliers in the long time and that tells you that we're probably not the only ones that have a declining curve on our sales commitments that have more in the next few years and declining overtime. So, that tells you that if we're - suppliers not - our books aren’t full and there are some buyers that are out there that are going to have to come to the market and so we think we're in good shape right now, we have a good film, and 26 million average a year is not a bad position for us when we're producing 25-ish and so we have got some inventory to use up as well so we're comfortable where we're at and we will just watch how the market turns out.
Greg Barnes: Okay. Thank you.
Operator: The next question comes from Robert Reynolds with Credit Suisse. Please go ahead.
Robert Reynolds: Good morning guys or sorry good afternoon. My question relates to the inventory for the uranium purchase commitments that you have left, I saw during the third quarter the average price paid for purchases was CAD$3,683 a pound, of the £23 million or so of purchase commitments that you guys have disclosed how much are still in the sort of higher price legacy purchase contracts that you entered into to secure when you are having the Cigar Lake start up challenges?
Tim Gitzel: Robert, thanks for the question. It is still morning here, but I will turn that one over to Grant.
Grant Isaac: Yes, thank you. So, we really abandoned an aggressive purchasing program in 2015, so we really have not been purchasing layering in the purchase commitments except for when we see the right opportunity and of course those would be linked to those market those right opportunities are in. We have a bit more of the legacy type purchases as you described them to work out, but ultimately you are seeing the transition down to our inventory costs. So also in the MD&A just in front of the uranium segment that are on Page 18, you will see quite a significant reduction in the cost of our inventory and that really is just as we utilize those purchases that were at a higher price and benefit from the Tier-1 pounds coming into the inventory portfolio and any purchase that we have layered on since have been reflective of these kinds of markets. So really we're working through those legacy purchases and don’t expect a big impact on those going forward.
Robert Reynolds: And then just as a follow-up, what is the normalized inventory level of that Cameco would like to hold?
Tim Gitzel: We would like to usually overall about five to six months forward sales that would be our position.
Robert Reynolds: Great. Thanks.
Operator: Our next question comes from [Greg Smith] (Ph), who is a Private Investor. Please go ahead.
Unidentified Analyst: Thanks for taking the call. I was just trying to figure out some kind of valuation this year based upon how much would cost to build the whole place like that you know the mine [indiscernible] how much that costs?
Tim Gitzel: Well it would depend great where you are talking about and whether you are in the institute recovery situation or underground, I can give you some number that we know of, Cigar Lake is our most recent fore into the mining business and by the time that was done we were somewhere between $2.5 million and $3 million for the mine. So I would just say it’s not cheap, Saskatchewan is not cheap, uranium is not cheap, just keep your eye on - when you see numbers coming out for new projects going forward, we have got a lot of experience, some good, some not as much, but it’s expensive and Cigar Lake would be an example where we were in the $2 billion to $3 billion range just for the mine.
Unidentified Analyst: Okay. Thanks for your help.
Operator: Our next question comes from Fai Lee of Odlum Brown. Please go ahead.
Fai Lee : Thanks. Tim I just want to make sure I understand this correctly, you have indicated that the increase to your sales volume guidance for the year, and not this quarter, was predominantly due to Bruce Power I guess and I...
Tim Gitzel: No, not for this year. That’s going forward Fai.
Fai Lee : That’s going forward, okay. So this portfolio optimization decision that’s effecting this year, what is that about, can you just put some color on that?
Tim Gitzel: Yes absolutely, it’s some contrasting brought forward, but Grant you know the specific of that.
Grant Isaac: Yes. So I wish I had a really short answer for you Fai, I don’t think you have bear with me, when we look at our contract portfolio obviously there is a lot of value in it and when we have customers who are looking at their own requirements going forward and if there is any doubt or concerns about their portfolio going forward, they might want some future relief for example. And for us, if it’s the valued out into the future where we have uncertainty about the demand in that customer, might be technological, it might be regulatory, it might be licensing, it might be just straight to economic, where we have doubts about customer out in the future. We will entertain the conversation with them about their future uranium requirements, but it’s all on the principal of converting uncertain future into certain present value. And so we have had a few opportunities there where we have been able to bring forward some value, offset it with more exposure out into the future, but we are okay with that, for the reason that Tim described the earlier we don’t believe that this is the market that's sustainable and having exposure out into the future when the demand transition when that £600 million of uranium demand have to come to the market. Some of its going to come our way and we want to be exposed to that, so it's just a way for us to optimize our portfolio and we were able to bring some value in the form of cash flow and earnings into the near-term and that conversion works for us right now in the market that we're in.
Fai Lee: Sorry maybe I'm not clear. I was referring to the last quarter the outlook for sales volume was like £30 million to £32 million not £32 million to £33 million and I'm just wondering what that delta is referring to?
Grant Isaac: Sorry I did obviously a horrible job of trying to explain it. That is the delta, we have some opportunities to work with some customers and bring forward volumes into this period volumes that would have been out into the future and then that's reflected in higher guidance on our sales delivery volumes, all within our committed portfolio.
Fai Lee: Okay, so you brought forward sales and you have got some more this year, but there will be offset maybe somewhere in the future then?
Tim Gitzel: Yes, you got it.
Fai Lee: Thank you.
Operator: [Operator Instructions] Our next question comes from Orest Wowkodaw of Scotia Bank. Please go ahead.
Orest Wowkodaw: Hi thanks for taking the follow-up. You mentioned earlier that with production cuts at McArthur this year you kind of alluded to the fact that you might consider more moving forward, I'm just wondering given the state of the market would there be any possibility that would it make sense to shutdown one of your Cigar, McArthur in order to get the market closer to equilibrium and basically help pricing are you looking for that?
Tim Gitzel: Well Orest it would be a nice question if you could ask to Kazaks at some point. I would just say that we're always looking at our operations, our balance of production and purchases and inventory to see what the optimal space is there. And so today we have contracts to fill, we have the £32 million to £33 million to fill this year and so our production is down a bit about a £1 million due to some technical issues coming out of our summer shutdown. So it's something we look at all the time Orest that's all I can say.
Orest Wowkodaw: Okay. Thank you very much.
Operator: Our next question comes from Anang Majmudar of General American Investors. Please go ahead.
Anang Majmudar: Good morning, thank you for taking my question. questions actually I have two please. Given the restructuring in the last two years would you mind reminding us please let's say if we look at this year what cost are running through the P&L that are let's call them temporary or one-time in nature and where they belong, whether it's cost of goods sold or operating expenses and then what expenses related to restructuring might be a little stickier in nature such as the care and maintenance on Rabbit Lake, and if there might be room for those two moderate overtime?
Tim Gitzel: That's a great question and I look to the CFO for that one.
Grant Isaac: Yes and my apologies I don't have the full list sitting in front of me, but you highlighted some of the examples Anang. When we curtail that in the U.S. for example, that is still have producing asset on a declining basis so you would have the cost of that running through cost of sales. So hanging in that cost of sales line a lot longer, you would have had some cost to sales burden from the Rabbit Lake here and maintenance for a period of time, once production and milling was completely ceased. Converting that over into just a straight care and maintenance expense, when we do any restructuring on the G&A side, in order to get those a base sustainable reductions of course they carry with them one-time restructuring cost, we try to break those out. We have also had cost associated with things like our tax dispute that we have talked about, so that was not one-time, it was occurring period of a couple of years but now that the case is in the judge’s hands that falls off. We had some cost associated with some collaboration agreements, as we look to shore up the support that we get from communities in which we operate, those collaboration agreements carried some cost which aren’t - parts of it are ongoing but some of that was onetime as well. So it is a basket of cost in there, we try to track them for you and lock them into the either the administration table or any uranium segment, but if you look through all of that, you see that it is a story about fundamentally cost to sales coming down. We work through higher cost purchases, we work through higher cost Tier-2 production, Tier-1 is filling up that bucket, so you see the cost coming down fundamentally or the core cost coming down. You see direct administration coming down on a run rate, G&A basis quite substantially 20%, so far in the nine months added to the work we have done in the past, you see the core exploration program coming down and then on a free cash flow basis you see the CapEx coming down. So there is what we hope is a very clear and in our minds compelling story about reducing the run rate cost of the company to deal with these markets in order to ensure we have good cash flow that gives us the ability to continue to navigate by an investment grade rating. And in investment grade rating that in fact make sure that we can whether deep cycle in the uranium space with no awkward lurches to the capital markets. That is the path we have been on for the last couple of years and continue to be on and we would just say its paying dividends.
Anang Majmudar: Thank you, I appreciate that and may be if I could ask one question about capital expenditures, just to follow-up on the previous question about capital expenditures. Of the 160 million would u be able to speak to what amount you consider to be maintenance CapEx?
Tim Gitzel: I was just looking at that this morning and we haven’t broken out in our MD&A into the different categories, but I'm not sure I have a sharper answer then that. Grant do you have anything, I mean other than the break down we have in our MD&A.
Grant Isaac: Yes. So with the 160 that is forecast for this year and if we just look at the Tier-1 assets and what is required, you see that there is a bit in the categories of both replacement and growth to really focusing in on what that sustaining piece is or that maintenance is. It really is a combination between sustaining and replacement categories. So it is some mine development which might be picked up in replacement versus just the good old fashion sustaining capital, you need to keep those operations going. I don’t have a new number for you, we're in the midst of that process, right now we're in the budgeting cycle, we will be coming out with new capital numbers like we talked about. As Tim indicated to Greg a bit earlier, this is the area where we continue to look, so unfortunately I can't give you the precise number other than yes we're looking at honing in on exactly what that maintenance number. It will be a combination of sustaining and replacement that allows us to benefit from these assets to put them into our committed sales portfolio where the average realized price is higher, but ultimately not expose any of this Tier-1 production to the spot market.
Tim Gitzel: I think if you take a look at the investor handle on the website there is some detail on there as well and I'm sure you may want to look at that.
Anang Majmudar: Terrific. Thank you, I will do that. I appreciate the time.
Operator: Our next question comes from Anton Hugo of Premium Research. Please go ahead.
Anton Hugo: Good evening. I was looking at your inventory of £37 million of uranium, and I was surprised that you increased the valuation on a per ton basis, but 4.5% quarter-on-quarter, and that's out of line seemingly with the changes in the actual underlying long-term contract price which is down almost 8% for the quarter and only about 1% increase in the spot price for the quarter. Can you give a sense, because it's quite locked in terms of the picture, your inventories more than a quarter of your market [indiscernible] valuation, so it's a quite a serious number?
Tim Gitzel: Yes Anton, we're sorry we're looking at each other, trying to understand maybe the question. I'm not sure we increased the value of our inventory. Can you point us to some numbers?
Anton Hugo: Yes. If you take the actual inventory values went from 40.33, so CAD$40 odd to CAD$40.54 on a per ton basis quarter-on-quarter, and during that time the Canadian dollar strengthened by almost 4%. So on the U.S. dollar basis, there is a 4.5% uptick in the valuation on the per ton basis of your inventory with actual spot price went up 1% in the long-term price went down 7.5% in the quarter. So I don't understand what drives the actual valuation figure?
Grant Isaac: Yes. So Anton, first of all let me just say I would love to take this offline, because I think there is a lot of detail we need to work through and you are picking up kind of an everything all-in number. What I would instead do is point you to Page 18 of the MD&A where we break out specifically the cost of the inventory and actually you see it declining, declining from 34.69 per pound to 31.56 per pound so that's the disclosure that really I think gets at your question about where is that inventory value going. So I would love to get into a little more detail on the bigger number, but that's where I would point you to.
Anton Hugo: I mean simplistically if one looks at September quarter of last year, the valuation [indiscernible] in dollars was $54 [indiscernible] and the long-term process 37.5, are u talking 32.5 but the long-term process since then declined by 19% [indiscernible]. In other words, you have gone from a discount to the long-term price - premium to the long-term price and it seems in congruence?
Tim Gitzel: Anton, let me suggest that we take this offline, so we obviously know who you are and where you are, we will be in touch with you and we will get the answer your question thank you Anton.
Anton Hugo: I appreciate that.
Tim Gitzel: Yes, no problem. Thank you sir.
Operator: This concludes the question and answer session. I would like to turn the conference back over to Tim Gitzel for any closing remarks.
Tim Gitzel: Well thank you operator. With that, I just want to say thanks to everybody who has joined us on the call today. We certainly appreciate your interest and support and hope you have a wonderful day and go riders. Thanks.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.